Operator: Good morning. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions Q2 2016 Financial Results Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, sir. 
George Liszicasz: Welcome to today's investor conference call hosted by NXT Energy Solutions. My name is George Liszicasz, President and CEO; and with me today is our management team: Bev Stewart, CFO; Andy Steedman, V.P., Operations; and Sajid Sayeed, our Director of Global Business Development.  
 The purpose of today's call is to briefly discuss the highlights of yesterday's news release regarding our Q2 report to shareholders, which I hope you have had a chance to review, followed by an update of our ongoing business. This conference call, of course, contains forward-looking information. So we, therefore, caution with the standard disclaimer, that such information is, by its nature, uncertain and often uncontrollable. And therefore, future results may vary from any estimates and expectations. 
 I will now ask Bev to discuss our Q2 financial results. 
Beverly Stewart: Thank you, George, and welcome, everybody. On SEDAR system in Canada and on EDGAR in the U.S.A., you can find our Q2 MD&A and the related interim financial statements for the 3- and 6-month periods ended June 30, 2016. All amounts today are discussed in Canadian dollars, unless otherwise noted. 
 There were no additional revenues earned in Q2. The year-to-date revenue relates to a $1.4 million SFD survey project that was completed for YPFB, the national oil company of Bolivia, earlier in the year. For Q2 2016, our operating results were total expense of $2.7 million and a net loss after tax of approximately $2.6 million or $0.05 per share-based on the 53.4 million common shares outstanding.  
 It should be noted that this reflects noncash expenses of roughly $655,000, including amortization expense of $421,000 related to the intellectual property asset, which was acquired at the end of Q3 2015. The Q2 results also reflected G&A costs of $1.8 million compared to $950,000 in Q2 2015. Included in the $1.8 million, however, were nonrecurring costs of $530,000, including $280,000 of termination costs of 5 employees, $180,000 related to an extensive business development trip undertaken at the start of Q2 and $70,000 of onetime tax and legal fees.  
 There were also recurring costs of $105,000 related to the ownership and operation of our survey aircraft that were not in the Q2 2015 results as the aircraft was acquired in December 2015. The aircraft is chartered to third parties when it's not required for survey and R&D use by NXT. The G&A costs are expected to revert to a more normal $1.3 million per quarter from Q3 onwards.  
 This leads us to our main discussion topic today, and George will continue with an update on the business. 
George Liszicasz: Thank you very much, Bev. Before I give a brief update on the standards of our potential prospects, I would like to bring your attention to a few key developments with regards to SFD and NXT. 
 First of all, I would like to talk to you about the current status of our algorithm development. For the last 2 years, we have -- it's going to be a little bit heavier on the technical side, but I think it's very important, very necessary to say so that the people understands how valuable this algorithm is. For the last 2 years, we have been developing an algorithm to facilitate the interpretation process by automating the elements of SFD analysis. The analysis and interpretation is still largely performed by our interpreters as you know. 
 NXT has finally found a key for characterization of SFD signal attributes and analysis of SFD signal patterns, trends and anomalies by constructing a stochastic differential equation model for SFD data. This work has produced very promising results. For the high level analysis, we are also employing several techniques from the field of machine learning, cluster analysis, heather mark of models and [indiscernible] nonparametrics. These were applied to waveless spectrum data as those of you who are familiar with seismic that understand that part. But we are also expect them to be useful in the analysis of estimating stochastic differential equation parameters. We will consider other tools as well. Ultimately, it will be run by neural networks.  
 Finding the right algorithm represents a significant breakthrough, and I will give a simple example that demonstrates its tremendous value. NXT can acquire 1,200 line kilometers or 600 linear miles of SFD data per day. Let us say that we are conducting this survey in a remote under explored area for a major -- a super major event. Following each SFD survey, the algorithm can be used to analyze the SFD signal outputs and quickly identify along the flight lines, all the large track fluid accumulation in the subsurface. 
 What would take years using seismic or seismic methods could be reduced to a couple of weeks. Our estimation is that the algorithm can be fully developed within 2 years. And this leads us to our patent application. We have successfully defended all questions raised today by patent examiners in various countries regarding our patent application that was filed in May 2012. As you can recall, we also filed one in 2013, and we are getting ready to file 2 more patents. The time line for the final discussions is not yet known -- or decisions, I mean, is not yet known, as it depends on the individual processes of each country. 
 Let us now continue with the business development update. Our last conference call we discussed our business development strategies regarding new markets and prospects. While the downturn in the market continues, I'm pleased to say that we are on track to converting our prospects into contracts. As you may appreciate, market volatility does have a considerable impact in the decision-making processes of our clients. 
 Consequently, the use of SFD is becoming more attractive due to the value and efficiencies it brings to the exploration process. In addition, we have become aware of some major discoveries made by our clients within areas recommended by NXT. We are very excited about this news, which once again confirms the value we provide to our clients. We have been very successful in positioning our technology as an executive decision-making tool that enables strategic planning, prioritization of exploration programs. 
 We will continue to build robust sales opportunities and here is a brief update on some of our key prospects. I just would like to make a comment that we are actively pursuing to get -- to publicize these discoveries. Malaysia. As you know from previous communications, we consider Malaysia to be an excellent opportunity for NXT.  
 We are currently awaiting a decision from our customer in Malaysia as to which blocks they wish to be surveyed by the SFD method. Ghana. Ghana is another country with excellent prospects for NXT. The National Oil and Gas Company and Petroleum Commission have recognized the value of our proposal and confirm their intention to use SFD. We are following up on the development on a weekly basis and look forward to making a positive announcement in the near future.  
 Mexico. That's the topic that we are waiting to be resolved, and we are very pleased that we have made some significant headwinds over the last few months. We had several meetings and discussions with the new senior leadership of Mexico in Mexico City. And as a result, we have been now asked to present a project proposal. 
 In addition, we had the opportunity to meet government of Mexico departments that can independently utilize SFD and to implement a strategy that will accelerate their hydrocarbon exploration programs. Such meeting with government officials is now scheduled in September. 
 Sri Lanka, Senegal, China and Middle East. We are at various stages with each of these prospects in these respective countries. We are pleased with the progress thus far, and we will continue to follow-up closely our proposals towards potential contracts. Some of these initiatives are gaining momentum. However, some may spill over into 2017. Each of these projects are significant in size, and the decision-making process are time-consuming and complex in nature. We will be providing periodic updates as these initiatives develop further.  
 Let me also brief -- give you a brief update on the repeated business opportunities. Bolivia. As you are aware, we have been discussing sales of approximately $1 million worth of existing SFD data to a client in Bolivia. The internal approvals are in place and we await the final purchase order. YPFB, Bolivia, which is the national oil company of Bolivia. Following the excellent results of our first 2 surveys for YPFB NXT is in discussions to provide additional surveys in line with their expanding needs of the organization exploration plan. Just to make a note, about 40% decrease have been noted recently worldwide in the rig capacity or reuse and that is just the opposite in Bolivia. So we are very pleased with that. 
 YPFB has announced a budget approximately USD 4 billion over the next 5 years. And SFD is a key technical advantage that they intend to utilize in their future projects. Based on our previous success, we anticipate a significant contract with YPFB next year.
 Pakistan. We're expecting our customer in Pakistan to issue a new tender later this month, and we look forward to submitting a proposal at that time. So in conclusion, we are pleased and confident that with our progress, and we are making with our prospective clients. The market fluctuations have had a bearing on the momentum of each of our initiatives. But given the economic needs of NOCs, which are the national oil companies, to continue exploration, combined with the value SFD technology can deliver, we are highly confident that a number of our current prospects will be converted to contract in the next few months. 
 We had expected to close some of these contracts in Q2. However, as a result of the change in the market conditions, the timing has shifted. The demand for SFD remains very strong. So we are very excited with the decent discoveries in SFD recommended leads and fully intend to capitalize on these successes and will continue to work towards our goal of increasing the recognition and approval of the SFD survey method across the globe. We look forward to updating you with our progress in the coming months. 
 Thank you all for your continued support and belief in NXT. I now ask the operator, Stephanie, to open up the line for us to take a few of your questions. Thank you very much. 
Operator: [Operator Instructions]. Our first question comes from the line of Albert Ross, a private investor. 
Unknown Attendee: I have a few questions on the business development front. In looking at your new business development, the focus seems to be on nationalized oil companies that are very politically stuck in decision-making processes. Why, to this date, have you not gone after the private oil companies? That's question number one. 
 Number two. In reviewing the background of your business development people, I noticed that they don't have a strong background and network in the oil exploration business. And I was wondering what the strategy is around not bringing people in that are well connected within the oil industry. 
George Liszicasz: So why don't we have Sajid, to answer the first question. I will address the second one. 
Sajid Sayeed: All right. Thank you for the question. The first question was why are we focusing on national oil companies as supposed to private oil and gas companies. Our strategy has been so because with the downturn in the market, in particular, and fluctuations in the oil-based market, as we all know, the most affected and the most seriously affected ones are the smaller oil and gas companies, the E&P market per se. The next are, of course, the super majors and the big ones, big giants in the industry. 
 They themselves, the first immediate reaction is to cut down the CapEx and then move on to the OpEx cut and the first budgets that they chop is the exploration budget. And that's typically the nature of these players. 
 Also the new technology, because we are a technology company and we focus ourselves as a technology company, bringing robust technology into their existing processes. So we position ourselves differently and acceptance of a new technology like this, is now established. It's a bit of a challenge with these companies. However, with the national oil company, the approach is entirely different. The national oil companies are more focused to address their own energy needs and their own specific economic needs that they feed into the country. 
 So therefore, the market fluctuation and the oil prices really do not affect their policies and their exploration programs. They are driven to achieve these goals, increase the reserves regardless of what is happening in the market. 
 So therefore, we took in -- we have adopted a strategy that is aligned to getting us into -- with players who have, I know, it's a more complex decision-making process, but a greater need for something like what we had to offer. Our 2, especially comes in handy, reducing the exploration cost, the finding cost and enhancing the time taken to get into -- to see the first new hydrocarbon revenues. So therefore, this advantage is of primary importance, absolute importance for national oil companies, and we feel that we are strongly positioned to address their needs. And hence, we have taken a strategy to achieve the -- to go after them. 
 Now with regards to the complexities and the decision-making as politically, you're absolutely right about that, yes, it is. But we are well equipped and well-established to take on that challenge, and we have done some pretty much a lot of good work and we've got a lot -- we've made a lot of gains in this process with several national oil companies, and we are now talking to the many leadership offices and directors of these organizations who have accepted the technology and with whom we are actually talking about projects and the contracts. 
 So we are very happy and pleased with what we have done with the national oil companies, and we plan to continue to do so. Saying that, I also want to say that we are not neglecting the E&P market. We are still focused and we're keeping a very close eye. There are a number of them in our funnel that we are actually actively pursuing and addressing. But with the constrained budgets and challenges, we are being patient, but we are definitely being strongly engaged with them as well. 
 With regards to your second question, I'll pass it on to George. 
George Liszicasz: Thank you very much, Sajid. I am going to just follow through the first one that Sajid has commented on already. And one, we are not -- you mentioned that why not other E&P companies not involved. Not only that we are pursuing other E&P companies actively, we are going to -- we have a scheduled meeting in Houston at the request of the companies that are -- 4 of them are super majors. And this is the first time it ever happened. 
 You have to tweak their interest, and they will never come to the table unless somebody else used the technology. These recent developments, these new discoveries that are absolutely significant, are going to change the paradigm and turning to create the necessary shift. 
 The other thing is that you mentioned that the people don't have an oil and gas experience as much as you would like to see. We do have very highly qualified oil and gas people with master's degrees and PhDs working at senior levels at NXT. And as Sajid mentioned, we are primarily a technology-based company so we need to understand the technical side of exploration a lot more than the E&P side. 
Operator: Your next question comes from the line of Peter Mork with Mork Capital Market. 
Peter Mork: First off, thanks for the -- just kind of some of the call outs from the G&A line. That was helpful. My question is -- I kind of got 2 of them here. First off, on these discoveries that you were talking about, George, is -- you talked about publication. Is that something that you're doing in conjunction with some of these companies that you've done past surveys for? And it's going to be a journal or whatnot? Or should we be looking for some of this stuff on maybe your website? Or is it internal that you guys can publish? How should we think about that? And when should that be expected? Is that this quarter? This year? Kind of just a time frame would be helpful. 
 And then secondly, we went through a lot of different opportunities on just kind of back of the envelope, I'm looking maybe like 8-plus different prospects that are in that pipeline at various stages. We've also seen your -- just on your investment slides in the deck, that pipeline slide just populate with a lot of new potential clients. There was an order that you called out some of these prospects on the call, George, and this is probably a question for Sajid as well. Malaysia then Ghana then Mexico. Is that how we should think about it in terms of those are the most far advanced at this point? Or -- and any color you could give on that would be great. 
George Liszicasz: Thank you very much, Peter, and thank you for your continued support and belief in us. There will be -- just the first part of the question, there will be a presentation, I believe, in October, end of September, publication conjunction with YPFB on the results in Bolivia that we have achieved and all the work in Bolivia that we have done so far. So it is very nice to see that the national oil company, not only embracing the technology, but actively using it and all the seismic programs that they have, or most of the seismic programs now are based on the SFD. And we are looking forward to working with them in the near future as well. So that's one publication. It's going to be presented by Enrique Hung, who is from Chevron, he's a geoscientist with a master's degree, 12 years he spent with Chevron. And we have been very fortunate to have him. 
 Secondly, 2 major discoveries were made, yes, with one of the former client of ours. So we are -- we believe -- Sajid mentioned that we believe that we will be able to access to that information in a couple of months. And it would be -- don't worry, we are more anxious than anybody else to publicize that. So that's where I would pass over the [indiscernible] to Sajid. 
Sajid Sayeed: Thank you, George. Thank you, Peter, for the question. Yes, we do have a number of prospects that we are -- that George has spoken to in this call. And they're not placed in any particular order for any particular reason. But these are definitely the most advanced prospects that we are with right now. However, there are -- other prospects, as spelled there, on the similar stages, but we don't see the momentum that we are seeing with these. These are the near-term prospects that we are very comfortable with. And we are seeing a lot of progress being made on a weekly basis, and it's moving towards a contract. Hence, we spoke about them in this call. And we hope to share some good news very soon as and when things progress into fruition. So that's pretty much where we are with the prospects. One little thing that I would like to add to what George said as well. Yes, we are extremely excited about these new discoveries. We are strongly engaged with these prospects, and we are doing everything that we can to capitalize as much as we can with this news coming out. 
Operator: Your next question comes from the line of [ Mike Neiheiser ]  with Starsale Equity (sic) [ Scarsdale Equities ]. 
Unknown Analyst: George, it's Mike Neiheiser of Scarsdale Equities. If I could get you to clarify, I didn't quite get it, but the algorithms that you're coming up with to analyze the data, have those already been completed? Or are those still in development? 
George Liszicasz: Well, the algorithm is -- this particular algorithm is a very complex one. And you and I can -- thank you for the call, Mike -- you and I can have a discussion on that. The guy that is developing it is a PhD mathematic masters in physics and  especially general relativity. And he is one of the most important experts in this field. And we also have universities working with us, professors, in this matter. So it's not just him, but he's our anchor connection in this regard. So it's a very, very complex algorithm. And the reason why it will require -- I'm sorry? 
Unknown Executive: 2 years. 
George Liszicasz: 2 years, yes, I know. But what I wanted to mention that it's a very complex algorithm, and it has many aspects to it. So cracking the code, so to speak, or finding the way how to utilize this stochastic method. It's very, very difficult. You can think about it like the stock market, how it is going and moving around and you're trying to predict trends and so on and so forth. And the stock market has about 7 variables, we're going to have over 20. So this equation that we are developing is very, very extensive, but it will take about 2 years. Within 2 years, we should have it all. We have the [indiscernible] now, and it has been -- we're ready through. So we have about 7 unknowns that we have identified and incorporated into the equation, and they are all producing results. That was the key for it. You have to be able to find a mathematical model that works. So -- and just for people that do not understand what stochastic means, stochastic resonance, it occurs in quantum mechanical devices. And as such, there's a lot of probability that is involved in prediction, so to speak. Involved in this methodology. 
Unknown Analyst: So it will -- your target for development is in 2 years. And I just want to say that I think that's a great idea because it liberates the interpretation of the data from one particular human and makes it more of a commodity. And secondly, it also allows you to provide trade defense, in addition to your -- to allow the process not to be repeated by others through other means. The last question I have, could you please reiterate your guidance for potential purchase orders for the balance of 2016? 
Sajid Sayeed: Sajid here, Mike. Thanks. With regards to the purchase orders, we really can't give you a confirmed date, but we are working very closely, and we anticipate some good news by the end of this quarter. 
George Liszicasz: And we're still going to be on track. So these are the hard questions, yes. 
Operator: Your next question comes from the line of Stan Trilling with Morgan Stanley. 
Stan Trilling: One quick question. Can we have a little bit more specificity on the delay or postponement of the 2 contracts you thought you would close by the end of the second quarter? I know you said you gave a general overview of the volatility. But to go back to what Sajid said, the volatility for these major -- for the national oil companies is not as much an issue as it is for the majors. Okay. So can you be a little bit specific on why the delays? And where do those 2 specific contracts -- where they stand right now? 
Sajid Sayeed: Thank you, Stan. Thanks for the question, Sajid here. I'll take this question. Yes, you're absolutely right about the national oil company and volatility [indiscernible] at the market and how they react to it. That does have an impact, however, but not as severe as it would have for an E&P company or a super major. However, the delay is not just because of that. The delay that has been happening is due to the nature of the contracts itself. 
 It's pretty complex. It's a very big contract, significant size, the complexities with more dollars being involved and national oil companies typically are more complex as, [ Albert ] has indicated in the beginning of this call, we had to jump a number of hoops and address a number of questions and a number of departments that we got to deal with in this process. So we are well within the process. We have these milestones. However, they have moved by a few weeks here and there. We are hitting those milestones towards the contract. So that's why we are pleased. So I really can't speak why they got delayed, but they are all internal processes related within these national oil companies that are quite complex. There have been changes in personnel in certain places. In certain places, the process. Because the size of the contract had to go through a number of different kind of approvals from different ministries and different departments, so hence the delay. But however, we're very pleased with the progress because we are hitting the milestones going towards a contract. 
Stan Trilling: So there's -- so you can't give us any more specificity than on those 2 contracts? 
Sajid Sayeed: I really cannot give due a lot of transparency issues and stuff [indiscernible]. 
Stan Trilling: Bev, I have a question for you, having to do with the burn. 2 quarters of no revenues. And you've said you're going to get the -- going back to what -- a more level expense of $1.6 million a quarter. Is that cash burn assuming no revenues? 
Beverly Stewart: No, Stan. I think we should get back -- our G&A should be back to about $1.3 million. We do have other costs on top of that, obviously, in terms of the depreciation charge. 
Stan Trilling: Yes, but that's noncash. 
Beverly Stewart: That's noncash, yes. But no, our burn per quarter will be about $1.2 million, $1.3 million of cash roughly. 
Stan Trilling: Okay. And does that count any planned capital expenditures by the company? 
Beverly Stewart: No. No, no. We don't really have any significant capital expenditures. The big one we had last year, obviously, was the aircraft. And other than that, as we saw in Q2, it's really just small things like computers and stuff. 
Stan Trilling: Okay. All right. And your current cash balance or your current cash and investments are what -- are standing at what, $4.7 million? 
George Liszicasz: About, yes. 
Beverly Stewart: Yes. We were just under $5 million at the end of Q2. 
Stan Trilling: Okay. All right. I thank you. I know this has been a -- as I've said in the past, this has been a very, very, very long pregnancy. Okay? And we can -- I hope you're going to have twins or triplets. 
Operator: Your next question comes from Hal Collier with Aggressive Undervalue (sic) [ Aggressive Undervalued ]. 
Hal Collier: Question for Bev. If we do start to get low on the cash, have you been talking about either borrowing or doing a sale-leaseback of the plane? 
Beverly Stewart: Our current forecasts at the moment do not indicate that we'll be required to raise any future capital but we do have access to bridging if we needed it. We have looked at trying to finance the plane. Because of the areas it goes to, it's not continually based in North America, obviously, a lot of the leasing companies are not attracted to that particular transaction because of -- it flies out of North America, it goes to some less politically stable countries, and they're not keen to finance it. 
Hal Collier: Got it. And also, I'd just like to say, George, and the rest of the team, I really I appreciate what you've done on the big marketing tour that you did around the world and how you have so many prospects there in the funnel. And I guess we just have to be patient and let those prospects slowly drop down until they're ready at the signing stage. 
George Liszicasz: Thank you so much, Hal. We really appreciate these comments. I think, as I mentioned before, the demand is there for the technology. The timing has shifted because of the market conditions a little bit. But this is very important to understand that NOCs have to continue developing their resources and finding new reserves and replacing the old ones. So I believe that nothing changed for us. There's a little bit of a shift in time. And in the next call, we are going to be much happier, all of us. 
Unknown Executive: Delivery. 
George Liszicasz: Yes, delivery. Yes, yes. To use the terminology of Stan, we will have delivery... 
Unknown Executive: By then. 
George Liszicasz: Quadruples. 
Beverly Stewart: Quins. 
George Liszicasz: Quins, as we have the British. What? 
Beverly Stewart: ,,,
 That's 5. 
George Liszicasz: Oh, that's 5. Anyone else? 
Operator: Your next question comes from the line of John Sullivan with JS Capital Management. 
John Sullivan: I have 2. One is the -- your expenditures for termination, some $500,000 or $600,000 seems a little heavy, must have been some valuable people. And the second question, I think has been answered. I assume you will have some sales in the third quarter. 
George Liszicasz: I will ask -- I answer the second question first. Bev is going to answer the first one. Yes, the answer is simply, yes. We are expecting contracts in the third quarter. 
John Sullivan: And by a contract, you mean a cash receipt? 
George Liszicasz: No, I meant signed contracts. Because what happens in this business is that once you sign a contract, then you have to do the permits and so on and so forth. In some cases, it can take 2 months. In some cases, it can take 4 months. 
Andrew Steedman: In some cases, it takes 2 weeks. Permitting process varies by country. I'm sorry, it's Andy Steedman talking. Permitting process is -- on a country-by-country basis, varies. 
John Sullivan: So you might not have any cash receipts in the third quarter? 
Andrew Steedman: It depends on the nature of the contract itself. 
Beverly Stewart: We might also have the sale of data to one of our customers in Bolivia, which would indeed bring us some cash in. That will be the only sale that we would recognize in Q3. As Andy has just explained, the time it takes to complete a sale can be up to 4 or 5 months. And even if we sign a contract in Q3, it probably wouldn't be recognized until the end of Q4 or even into Q1, depending on timing and permits as such like as Andy has described. 
 [indiscernible] receive cash in that time there. So just to be clear, John, sorry, we do tend to stage our contracts such that we get payments upfront, payment in advance and stage payments throughout term of the contract. But in terms of recognizing the revenue, it would be at the end of the contract. It's a bit confusing, sorry. But I'll answer very quickly the question about the termination cost for employees. And I'm sorry if it wasn't clear in what I was saying earlier. The nonrecurring costs that were incurred in G&A in the second quarter were about $530,000 in total. Of that only $200,000 -- only $280,000 of it was termination for 5 employees. And as you might have recognized on the change in accents that one of those employees was this previous CFO, and he's been with the company for about 5 years. So unfortunately, in Canada, we are obliged to pay termination costs based on length of service, et cetera, and current salary. So that's the reason for the large cost in the quarter. 
Operator: [Operator Instructions] Your next question is a follow-up from Peter Mork with Mork Capital Management. 
Peter Mork: Sajid, I thought I'd try you one more time just on the contracts. And I appreciate that you guys -- you've given a lot of detail, and I appreciate that you guys are in negotiations and whatnot. So -- but just kind of looking at the presentation from the AGM. In the -- in your -- on your kind of pipeline slide in the deck that laid out all the contracts. The majority that were on the right side, like near completion on that were basically the company has mentioned. And I just wanted -- one that was not on that right side yet that was talked about today was Sri Lanka. And then I also just -- China was mentioned as well, and that wasn't even on -- even like a Phase 1 qualified lead as of a month ago. So is it safe to assume that those 2 have advanced significantly over the last 6 weeks since that was presented? And then also kind of the flip side, anything on any prospects on that pipeline that was presented that have fallen off and maybe taking a step back? 
Sajid Sayeed: Thank you, Peter. Going back to the pipeline. And first, nothing has fallen off. In fact, more has been added in. So that's a good thing. And that's happening while the market is taking a downturn. And because as the market is taking a downturn, people are seeing -- it's all about cost-cutting and they're seeing the value of SFD, how it comes into play in the exploration programs. So that's good for us. And that's working in our favor. So the pipeline is getting only getting stronger. 
 Hence, you see the China jumping in and Sri Lanka are jumping in towards closer time lines. Yes, these 2 prospects have taken a rapid momentum, all of a sudden, because of their internal needs, because of what the energy needs are and also their economic needs because they are, like, for example, Sri Lanka is burning close to $5 billion in their energy cost on an annual basis. Now that's burning a big hole. 
 So these things have -- these different factors have played along while we are pushing our proposals with the highest authorities there, people are seeing this, taking interest and they want to pursue this and bring this to a fruition so that they can start benefiting from this and start seeing new hydrocarbon revenues or at least a reserve count that will offset their reserves. I mean also their books. 
 So that way, yes, from the AGM presentation, China and Sri Lanka has taken a lot of momentum, and they have come on par in the process where we are with likes of Malaysia and Ghana. So hence, we brought it up in this call, and we are speaking about it. So -- but our sales funnel, our productions are getting -- I mean, not the production, the sales fund is getting much better. We are having more people taking interest, and we anticipate, while we come close to making some kind of positive news, especially with the SFD validation in terms of the discoveries. This will become even more -- there'll be a bigger market interest in what we had to say, the number of things that we're working on that we cannot disclose at this point, that will bring in a lot of publicity for NXT and the value of SFD technology in terms of in the exploration process, and that's going to bring in more accounts as well into the funnel. 
Operator: [Operator Instructions] Your next question is from [ Wester Rebar ], a private investor. 
Unknown Attendee: I just have one question. Have you considered hiring additional salesmen from the oil and gas business that has proven success? You have a substantial pipeline, and it seems like with one person handling it, it needs more help and also could help driving and closing business. 
Sajid Sayeed: Thank you, Wes. At this point, the -- if you see the gains that we have made in the last 18 months, it's with this sales force that we have. And this is a phenomenal growth, if you see in any sales standards, in terms of building our funnel. And this is not with one person. This is -- we have 4 people over here. The 2 geophysicists who are actively engaged in the deal and presentations and the sales process. And these geophysicists have solid industry contacts. They come from solid experience. And they are an integral part of those sales strategies. 
 Furthermore, along with myself, I have another business development manager, who helps with the process. We have 4 people, along with George. We are very happy with our team and the gains that we have been making. And of course, there are other contributors, Andy Steedman, who is our VP of Operations, he has got extensive relationship with existing clients. All those are coming into play. And so it's a combined effort. With regards to hiring new staff, we don't see the need at this stage where we are at. But as we get more momentum and we get more acceptance in the industry, we're certainly looking at that option. 
Operator: [Operator Instructions] At this time, there are no additional questions in the queue. 
George Liszicasz: Thank you very much, Stephanie, and thank you very much, everyone, for participating in our conference call. And looking forward talking with you in the near future. Thank you so much. Goodbye. 
Operator: Thank you. This concludes today's conference. You may now disconnect. Speakers would you hold the line?